Operator: Greetings, and welcome to the Vertex Energy Inc. Second Quarter 2013 Financial Results. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ben Cowart, Chairman and CEO. Thank you. Mr. Cowart, you may begin.
Benjamin P. Cowart: Thank you, operator. Joining me today on the call is Mr. Chris Carlson, our Chief Financial Officer; and Michael Porter, our Investor Relations Consultant at Porter, LeVay & Rose. Before we begin the business portion of this call and on behalf of the company, I'd like to inform you that this company expects to make forward-looking statements during today's call. Statements including words such as believe, anticipate, expect and statements in the future tense are forward-looking statements. These statements involve known and unknown risks and uncertainties and are based on management's current views and assumptions regarding future events and operating performance. A number of factors could cause the company's actual future results to differ materially from its current expectations. Thank you, everyone, for joining us on our second quarter 2013 earnings call for Vertex Energy. This call coincides with yesterday's filings of our 10-Q for the quarter ending June 30, 2013. I want to start by giving you a few highlights from Q2, then I'll turn the call over to Chris Carlson, our CFO, so that he can walk you through our second quarter financial performance. Following Chris' presentation, I'll provide some thoughts on our plans for the remainder of the year and I'll make some closing remarks. We will then open the line for questions. The second quarter of this year showed an improvement in revenue, gross profit and net income relative to Q2 2012, as some of the expected results from our recent acquisition have begun to take hold. Here are a few quick highlights that we'll touch on in more detail during this call. Our gross profit increased by approximately 240% relative to the same quarter last year. The improvement is related to the fact that we are now able to source an increased amount of feedstock for TCEP via our collection network, rather than having to purchase the bulk of the raw material from third parties. Revenue increased by 12% relative to the same quarter of last year to $35.1 million. Overall volumes of products sold, also an important matrix for our business as it illustrates our reach into the market, increased by 19% for Q2 2013 versus Q2 2012. Our overall per barrel margin increased by 185% relative to the same quarter a year ago. This ties into our improved gross profit overall and illustrates our ability to drive down feedstock cost across our business. Before discussing our outlook for the remainder of 2013, I'd first like to turn the call over to our CFO, Chris Carlson, for a more detailed review of our financial performance during Q2 2013. Chris?
Christopher Carlson: Thank you, Ben. For more information, please refer to our press release issued yesterday, our latest Form 10-Q for the fiscal quarter ending June 30, 2013, as well as our other filings made with the Securities and Exchange Commission. I also want to mention before we proceed that all financial numbers are prepared, unless noted, in accordance with Generally Accepted Accounting Principles. Note that the acquisition Ben referenced was completed in September, and we have integrated these new operations into our business. I'd like to now discuss our results. For the quarter ended June 30, 2013, we reported consolidated revenue of $35.1 million compared to $31.3 million in Q2 2012. This represents a 12% revenue increase. The revenue increase was due primarily to increased sales volumes that were somewhat offset by decreased commodity prices. You can find more detailed information on the various pricing benchmarks that are most applicable to our business in our 10-Q that was filed yesterday. As discussed in previous calls, we generate revenues from 2 existing operating divisions. With the acquisition completed in September of 2012, the company is now reporting TCEP results within the Black Oil division. The figures I'll reference on this call take into account the change in reporting so that last year's Q2 figures represent an appropriate comparison to this year's Q2 figures. Black Oil division revenue for Q2 2013 was $20.9 million as compared to $22.3 million in the second quarter of last year. This decrease in Black Oil revenue is attributable to a decrease in commodity prices, which again was somewhat offset by an 8% volume increase on a year-over-year basis. TCEP, which again is a business unit within our Black Oil division, generated $10.2 million in revenue for Q2 2013 versus $12.4 million in Q2 2012. This 17% year-over-year decrease was driven by lower commodity prices and an 8% decline in volume. The lower volume is attributable to downtime at the facility related to the implementation of TCEP process modifications designed to optimize production and reduce future costs. The Refining & Marketing division produced revenue of $14.2 million in the second quarter versus $9 million in Q2 2012. This represents a 58% increase over the prior year period, which is primarily attributable to a 48% increase in volume. This is a normalization of the volumes year-to-date. In addition, it reflects the normalization of volumes that were missed in the first quarter due to the planned turnarounds that were scheduled for the Refining & Marketing business. Our gross profit increased in the second quarter to $2.55 million compared to $751,000 during the same period last year. This 240% increase was driven primarily by our ability to source feedstock at a lower cost, which Ben mentioned earlier in the call. Looking at these results by division. Our gross profit for the Black Oil division was $1.15 million for the quarter, a 458% increase over last year's Q2 gross profit of approximately $205,000. TCEP had a gross profit of $543,411 in Q2 2013 compared to a negative gross profit of approximately $395,000 a year ago. The Refining & Marketing division generated gross profit of $1.41 million for the quarter, a 158% increase compared to Q2 2012's gross profit of $546,000. Selling, general and administrative expenses increased in Q2 2013 relative to the second quarter last year due to the significant increase in our staff from 12 to 102 employees as a result of our acquisition. Our second quarter SG&A expense was $2.4 million versus $919,000 for Q2 2012. On a go forward basis, we anticipate SG&A being higher than in previous years because we are now a larger company. We are actively working on reducing our SG&A expenses and it is our belief that improved gross margins, associated with the benefit of collecting our own used oil for processing, will more than offset the increased SG&A associated with these collection efforts as we move forward. Net income. We had net income of roughly $1.89 million or $0.10 per fully diluted share in the second quarter of this year. This was a significant increase compared to 2012's Q2 net loss of roughly $159,000, which represented a per fully diluted share figure of negative $0.02. I want to point out that our Q2 2013 net income includes a noncash benefit to our bottom line. It has been determined that the 2013 earnings target associated with the performance-based portion of the acquisition completed in September will not be met. Therefore, we have reduced the contingent consideration on our balance sheet by $1.85 million. Net income would have been $41,000 for Q2 2013 without this adjustment. I also want to point out that we do expect our performance to improve during the second half of the year. We believe that revenue for 2013 will be in the range of $140 million to $150 million, and net income will be between $4 million and $5 million or $0.25 to $0.30 per fully diluted share. I'd like to now turn the call back over to Ben Cowart, our CEO.
Benjamin P. Cowart: Thank you, Chris. As we look ahead for the rest of this year, I want to share some of our thoughts and what transpired in the second quarter and where we see the business heading for the remainder of 2013. We're now seeing the benefits of our acquisition materialized in our gross margins with increased -- which has increased across the board for this quarter, both in our Black Oil division and our Refining & Marketing division, as well as our TCEP business. As we continue to grow our ability to collect our own used oil for processing, we expect these margins to show improvements. We are pleased with the 8% overall growth in our Black Oil division compared to last year. We're focused on growing our internal collections of used oil we collect ourself compared to last year as well. We're focused on growing these internal collections of used oil because we realized higher margins on our TCEP finished product made from used oil that we collect relative to margins on used oil that we aggregate from other collectors. Although the overall generator volume across the country is shrinking, we are very pleased with the fact that our company's collected volume continues to grow, and we've experienced an 8% increase in our direct generator business compared to last year. TCEP did not perform to our expectations during the second quarter for 2 specific reasons: one is prices for #6 Oil, this is the commodity that is most relevant to the pricing of our TCEP end product, it declined, which negatively impacted our price per barrel of finished product by 14% relative to the same quarter a year ago. We had -- number two, we had a greater-than-expected downtime associated with the implementation of our process improvements at our TCEP facility in Baytown, Texas. This facility was designed to increase production and reduce operating costs. As a result of this downtime, we processed less volume this quarter than anticipated. It is our belief that we will begin to see both improved throughput and decreased per barrel operating cost at TCEP in the fourth quarter of this year. On the positive side, as we had expected, given the lower volumes and margins in the first quarter, we saw a tremendous improvement in our Refining & Marketing division on both a year-over-year and quarter-over-quarter basis. We believe that this business unit provides us with diversification within our space as the feedstock and end product prices are not highly correlated with the commodity products driving the other units of our business. We see 3 key areas for long-term growth as the company continues to evolve. Number one, we want to leverage our platform to grow our feedstock supply base. Our diverse network of generator customers currently cover a large portion of the state of Texas and provides an annualized volume of nearly 10 million gallons of used oil. Our goal is to double that volume in the future. To achieve this goal, we are pursuing organic growth opportunities, while we continue to evaluate potential acquisitions that will enable us to secure our supply. This will allow us to produce TCEP finished products at better margins. On average, we currently realized an increased 25% in gross margin on TCEP barrels produced from oil Vertex collects versus oil purchased from third parties. Number two, we want to expand the scope of TCEP from both a geographic and product perspective. We're continuing to evaluate other potential locations to build new TCEP facilities at a lower cost than competing used oil processing technologies. We're also working on expanding the application of TCEP to processing other hydrocarbon materials besides used oil, which would allow us to source other types of feedstock and produce a greater variety of end products. Number three, we want to capitalize on our vertical integration potential. Vertex now handles, collects aggregation and processing and sale of various end products. We intend to leverage our capabilities to capitalize on additional opportunities such as the recycling of used oil filters, processing of antifreeze -- or used antifreeze and the pursuit of other distressed hydrocarbon streams for processing through TCEP. The vertical integration strategy will allow us to pursue synergistic acquisitions that will further expand our addressable markets. Before we move on to the question-and-answer portion of this call, I want to let the listeners know that if you have any follow-up questions or comments, please feel free to contact our Porter, LeVay & Rose Investor Relations representative, Mr. Marlon Nurse at area code (212) 564-4700. Also, I want to mention that a digital replay will be available via telephone approximately 2 hours after the call's completion for the next 2 weeks. Details on how to access the replay can be found in our recent press release. Operator, we're now ready to take a limited number of questions, pertaining to the matters discussed on this call and our 10-Q. Remember, we're unable to discuss any information or business plans which are not publicly available.
Operator: [Operator Instructions] Our first question comes from Michael Hoffman with Wunderlich.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: Just a little housekeeping, so I got all the right numbers, the $0.25 to $0.30, does that include the $1.85 million noncash adjustment?
Christopher Carlson: Yes.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: Okay. And that -- would that -- if I get the calculation right, that's about $0.10 in the second quarter?
Christopher Carlson: Yes, that's correct.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: Okay. And then with regards to the business outlook, so the -- you mentioned several things in your presentation. You've been enjoying better cost of goods sold because you're acquiring feedstock at a lower price. Where does that trend at this point? Has it -- it's come down and stabilized or is it continuing to come down?
Benjamin P. Cowart: No, I would say that year-over-year, and Chris, you have the details, but our costs for feedstock across the board is much lower than it was last year. Now the negative balance to that is that our sale prices come down as well. The index that we sell our finished products into is down about 14% year-over-year.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: And on a relative basis, today, as you look into the second half, are we -- it's down and stable or down and continuing to fall, both of them, both of the cost of goods sold and the sale price?
Benjamin P. Cowart: Yes, I think we're seeing a slight continued fall in our feedstock costs and we're starting to see a lift in our sale price of finished products being sold. So we're getting a slight continued improvement on the raw material, while we're getting lift both from oil prices and actual margins on our sale price. So that is improving. Second quarter was a little bit challenging on the sell side, and we're seeing that make a turn.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: Okay. And then would you describe any particular seasonality between the 2 quarters in the second half?
Benjamin P. Cowart: Yes, there is some seasonality. The way we've sold our finished product in the past, our buyers have typically smoothed out those market conditions to where we really didn't see that take place. And today, we're really looking to make sure we're capturing all the margin on the sell side for the company. And so we're more in the market selling to multiple buyers. And so we will have a little bit more feel of the season under that sales model compared to just selling all to one customer. So we -- second quarter is typically a soft quarter for the sales of TCEP products, and then it starts to firm up in the fourth and first quarter. Third quarter is kind of a not bad, not great. But as it gets cold, there's more residual fuel being blended for heat, and there's more demand for our product, obviously, as diesel replacement cutter stock in those residual fuel blends.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: Okay, that's very helpful. And then last question for me, the nickel difference, $0.25 to $0.30, what has to happen to get that nickel? Is it just cost or is it both cost and revenue?
Christopher Carlson: It's a combination of both cost and revenue, which again, we're looking at volume as well. We're expecting continued volume improvement.
Operator: Our next question comes from Jan Bennett (sic) [Chad Bennett] with Craig Hallum.
Chad M. Bennett - Craig-Hallum Capital Group LLC, Research Division: So maybe this is a couple of questions kind of off the first questioner's call -- or questions, but -- so where are we today in terms of #6 Oil pricing and your relative premium to that and discount on the feedstock side? I think you directionally talked about it, but can you give us a sense where we are today?
Benjamin P. Cowart: Yes, let me just start with the second quarter relative discounts to that index compared to first quarter and back to fourth quarter. Second quarter, we were down probably $4 a barrel, maybe, Chris, yes, roughly $4 a barrel for the second quarter. And we're currently probably recovered $2, maybe $2.50 of that in the third quarter. And we believe that's going to continue to improve as we finish out the third quarter. So we see things firming back up. Second quarter, obviously, had its seasonal toll on demand and the price for the products. But it is firming back up and we're seeing improvements.
Chad M. Bennett - Craig-Hallum Capital Group LLC, Research Division: So there's a new plant, new re-refinery for base oil in Georgia and, I believe, one in Florida. How is that impacting your ability to grow collection volumes? Is it at all? And pricing, thereof?
Benjamin P. Cowart: Yes, I think every time you add a re-refinery for used oil, there's more demand and there's pressure on the street as far as generator business. And we've sensed some of that. But as I said before, in the last question, our cost continues to come down, and so we don't feel that it is impacting us too bad compared to what we see other companies in other -- in some of those regions, they're really dealing with a lot of pressure on the streets. So we -- our volumes are up across-the-board, 19%. And in our Black Oil division, across-the-board, 8%. And I don't have our year-over-year numbers, but I believe we're trending as a company right at 20% over the -- for the last 3 years. So we continue to grow. So I'm thankful for that. I believe our folks are seeing opportunities in the market to capture more volume and place it both in the new capacity for TCEP that we're bringing in, as well as into the export market. So I would say that we're -- even within the new refining capacity that is coming in, we're getting our share of the market and doing well there.
Chad M. Bennett - Craig-Hallum Capital Group LLC, Research Division: Okay. And then is it still the case in your Baytown TCEP plant that on the finished goods side or the finished products side that -- especially with your increase in capacity there, that there's still more than enough demand there to fully utilize your increased capacity at that plant? And if that's the case, should we -- I know you can't control #6 Oil, but your premium relative to that #6 Oil benchmark, if demand is kind of unlimited, that should still hold, you believe, at least as far as you can see?
Benjamin P. Cowart: Yes. As far as I see the new output, there's a strong market for the product. It does soften and firm up based on different times of the year, but we've never had a problem selling the production we've made in the past and we don't anticipate having any issue selling the production going forward. And I believe that our relative discount to that market should stay consistent with market conditions. So I believe we're fine there.
Chad M. Bennett - Craig-Hallum Capital Group LLC, Research Division: Okay. And then last one for me. Chris, can you give us an update on kind of where the cash and the balance sheet stands today versus the end of the quarter? Has anything changed?
Christopher Carlson: No, nothing has changed since the end of the quarter. Obviously, as you look at the numbers, you look at the cash flow statement, balance sheet, it was negative for the second quarter by about $500,000. We're still about in that -- right in that range. I do see improvement over the next 4 to 6 weeks though.
Chad M. Bennett - Craig-Hallum Capital Group LLC, Research Division: Okay. So you expect cash to just kind of pop back up, because inventories were a little bit high, right?
Christopher Carlson: That's exactly right. Inventories were high. They're still relatively high. But the next 2 to 3 weeks, we've got a lot of sales booked.
Benjamin P. Cowart: Yes, I think that was going to be my comment there. When we make the turnarounds and the modifications to the plant, our sales were off for the second quarter because the plant was down, but it didn't stop the volume and the growth on that volume to continue to build. So we finished the quarter with a lot of raw material, which we've been plowing through very well. So I believe we'll see some nice improvements around the inventory coming down and turning that into margin and into sales.
Operator: Our next question comes from of Greg Gartner [ph] with Gartner Fund [ph].
Unknown Analyst: It's actually the Argyle Fund. Just as a followup from that last item. With the inventory high and the production increasing, is there -- is the TCEP facility running at full production or with increased collections, could it even go higher? Because I'm sort of driving towards the timeframe when a new plant might need to come in. I just want to understand that within the growth objective.
Benjamin P. Cowart: Yes. So we are ramping up from the expansion. We're ramping up as we speak, in this month. We believe September, the plant will be running at full production. We believe in the fourth quarter, the plant will be running at full efficiency. So we wanted to get production lined out and get that stabilized as we bring efficiencies in going into the fourth quarter. So I think the answer to your question is yes, we're running. As far as timing on the second plant, I think that's going to really depend on both available supply in certain regions, and we're looking at multiple parts of the U.S. that we still believe are unaddressed with technology that have the feedstock. But then we've got to match finished product sales into those markets or look at the logistic costs to move the product into key markets. We have a little bit of a unique market for our product. So we strictly sell our products offshore or by marine modes of transportation. So it limits the locations of where we would build our plants based on those factors.
Unknown Analyst: And at this point, I mean, is a new TCEP facility, is that a couple of years away or is that something that you actually would potentially start next year?
Benjamin P. Cowart: To be completely operational, I would say within the next couple of years would be more realistic. Would we break ground and be moving on a new facility? The answer would be probably sooner than that. And depending on the market opportunities, we've got -- we have 2 technologies within our company that we can pick from. So we're looking at some interesting opportunities, both with our TCEP and in combination with some other technology that could position us. So there's just a lot of work. We finished the re-design of our TCEP technology, so we've got that engineering done. So we're moving down that path and we've made a lot of headway. We're well prepared today to move on the next opportunity.
Unknown Analyst: And with the goal of doubling the feedstock and covering Texas, is the current Baytown facility going to be able to handle that?
Benjamin P. Cowart: Yes. I think that's a very important priority for us because there's a lot more margin on the collected volume versus the oil we buy from third party. So think about the plant running about 30 million gallons a year at Baytown, we're collecting 10 million. So we have 2 opportunities as we bring another 10 million gallons into the plant from our own collections. We can either expand our capacity, assuming everything balances out, or we can back out some of the third-party oil that we're buying at the facility. And that could be through acquisition of some of the suppliers that we're currently buying from today. So there's multiple variables that would get us there. But the answer is yes, the capacity is there to accommodate our direct collection growth.
Unknown Analyst: Okay. And when you say full production in September, you're talking about the 30 million gallons per year run rate?
Benjamin P. Cowart: That's correct. Last year, we're about 25 million I guess, and that's finished product output. That's what our -- that's goal coming out of this improvement that we just made.
Unknown Analyst: Okay. So I assume the feedstock is actually a little higher volume, when we talked about the 10 million...
Benjamin P. Cowart: Yes. Yes, that's correct.
Unknown Analyst: Okay. And just one last item. On the vertical integration, third key to growth, what kind of margins are associated with that, with collecting additional product?
Benjamin P. Cowart: Yes, we really like the ancillary streams of material, like the oil filters. We've got a technology at our Corpus Christi facility to process oil filters and we're looking at some add-on technology that will really take our margins on that business, 40%, 50%. Is that right, Chris? So we're looking at that. That really allows us to fully monetize that, that waste stream. And then also on the antifreeze, we have a plant here in Houston at our H&H location and it processes the waste antifreeze and we've produced finished glycols that are then reblended, compounded and repackaged in the finished product. And we take that finished coolant back to our customer base and it has a significant margin. So we're at capacity now in that unit. We're looking at expanding that business as we go forward. So we really want to be a fully integrated company, very deep and dense in our footprint that we're collecting the oil, the filters and the waste antifreeze and capture the full margin using the right technologies to do that. So we're -- we've got a lot of effort making sure that our model gets fully developed as we expand our collection business.
Unknown Analyst: But is it safe to assume, if you execute on the vertical integration that certainly it would be additional revenues, but it might occur at lower margins in the TCEP?
Benjamin P. Cowart: I don't know that I would say that. I think as we -- the vertical integration really adds margin to the business. Revenues will increase somewhat, but it's really fully monetizing and catching the value of the residual streams that we are managing today. So that's how we're looking at it.
Operator: [Operator Instructions] Our next question comes from Michael Hoffman with Wunderlich.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: Yes, Ben, just a couple of followups. Am I correct? I thought we heard that the Tampa plant that was coming on hasn't even started pouring its foundation and they've actually slowed down hiring, and at this time, it looks like that plant is not probably going forward. The guys at Newalta pulled their capacity out, SafetyKleen has said they're not adding new capacity. So it looks like some of that new re-refinering capacity is actually coming off the market.
Benjamin P. Cowart: No, I agree overall, Michael, that the industry is back way up from building additional plants. The only difference is the plant in Tampa, in my personal opinion, is going to be built. I believe, it's under construction, and from our conversations with the company, they're saying somewhere around February to April on a startup for that plant in Tampa.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: Okay. I'll follow up with you then. Because I was in a meeting yesterday and they haven't even started pouring foundation.
Benjamin P. Cowart: Well, I've seen some aerial pictures and some information that shows the construction underway. So we'll compare our notes and make sure we're...
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: Okay. And then on the Refining & Marketing side, there was a little softness in some of the marine market, where is that now?
Benjamin P. Cowart: On the Refining & Marketing, it's a different market that we're selling into. So I want to make sure we're not talking about the marine market that buys the TCEP finished products because what we produce in Port Arthur at the Refining & Marketing business is more chemical-based and gasoline-based finished products. So those markets were very strong in the second quarter and still strong. So we really -- we had a turnaround with several of our suppliers, and so we had a turnaround in Port Arthur as well in the first quarter. So our numbers in volume was down. Our inventory backed up. But in the second quarter, we pushed everything through and we had a complete recovery of first quarter and hit all our targets for second quarter, and third quarter look solid as we go forward.
Operator: There are no further questions in queue at this time. I would like to turn the floor back over to Mr. Cowart for closing comments.
Benjamin P. Cowart: Okay. Thank you very much and I appreciate everyone being on the call today. If you have any more questions, feel free to reach out to Marlon Nurse with Porter, LeVay & Rose. And again, thank you for dialing in.